Operator: Good day, ladies and gentlemen. And welcome to our Fourth Quarter 2018 Mettler-Toledo International Earnings Conference Call. My name is Erica, and I will be your audio coordinator for today. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session [Operator Instructions]. I would now like to turn our presentation over to your hostess for today's call, Ms. Mary Finnegan. Please proceed, ma'am.
Mary Finnegan: Thank you, Erica, and good evening, everyone. I'm Mary Finnegan. I'm the Treasurer and I'm responsible for Investor Relations at Mettler-Toledo, and happy that you're joining us this evening. I am joined by Olivier Filliol, our CEO and Bill Donnelly, our Executive Vice President. I need to cover just a couple administrative matters. This call is being webcast and is available for replay on our Web site. A copy of the press release and the presentations that we refer to is also on our Web site. Let me summarize the Safe Harbor language, which is outlined on slide two of the presentation. Statements in this presentation, which are not historical facts, constitute forward-looking statements within the meanings of the U.S. Securities Act of 1933 and the U.S. Securities Exchange Act of 1934. These statements involve risks, uncertainties and other factors that may cause our actual results, level of activity, performance or achievements, to be materially different from those expressed or implied by any forward-looking statements. For a discussion of these risks and uncertainties, please see the discussion in our recent Form 8-K. All of the forward-looking statements are qualified in their entirety by reference to the factors discussed under the captions Factors affecting our future operating results and in the Business and Management Discussion and Analysis of Financial Condition and Results of Operations in our Form 10-K. Just one last item. On today's call, we may use non-GAAP financial measures. More detailed information with respect to the use of, and the differences between, the non-GAAP financial measure and the most directly comparable GAAP measure is provided in the Form 8-K. I will now turn the call over to Olivier.
Olivier Filliol: Thank you, Mary, and welcome to everyone on the call. I will start with the summary of the quarter and then Bill will provide details on our financial results. We will also provide an update of our guidance for this year. I will have some additional comments and we will then open the lines for Q&A. The highlights for the quarter are on page three of the presentation. We are pleased with our fourth quarter results and the strong finish to the year. Local currency sales growth of 6% came in as expected. We are especially pleased with the strong broad based growth in our laboratory business. Overall, demand in our markets remains favorable and we are executing well. Our productivity initiatives continue to generate positive results, which drove another quarter of strong adjusted EPS growth. We are increasing our guidance for 2018 and believe we are well positioned for further market share gains in 2018 and beyond. Let me turn it to Bill to provide more details on the financial results.
Bill Donnelly: Thanks, Olivier. Hello, everybody. Sales were $778 million in the quarter, that’s an increase of 6% in local currency. Our acquisition of Biotix, which we completed in Q3, contributed about 1% to sales growth. On a dollar basis, sales increased by 10% as currencies increased sales growth by 4% in the quarter. On slide number four, we show local currency sales growth by region; sales grew 9% in the Americas, 1% in Europe and 7% in Asia Rest of the World;. Biotix contribute approximately 2% to the Americas growth; sales growth in China increased by 13% in the quarter. On the next slide, we show full year sales growth. Local currency sales grew by 8% in 2017, of which 1% was due to acquisitions. In the Americas, we grew by 8%, in Europe 5%, in the Asia Asia/Rest of World, grew by 11% in 2017. Americas growth benefited by about 2% from acquisitions. On slide six, we outline sales growth by product line. In the quarter, Lab grew 11%, of which 9% is organic. Industrial sales growth was 1%, as solid growth in core industrial was offset as expected by the decline in our product inspection business, which had a strong prior year quarter. Food Retailing declined 3% in the quarter. The next slide shows full year sales growth by product line. Laboratory grew by 10%, Industrial increased 8%, and Food Retailing declined by 4% for the full year. Acquisitions benefited Lab by about 2%. All comparisons again were in local currency and all were versus the prior year. Now let's turn to slide number eight, let me walk you through the key items on our P&L for the quarter. Gross margins were 58.5%, that's a 50-basis-point decline from the prior quarter. On a constant currency basis, however, our gross margin is actually increased by 20%, reflecting a 70 basis points headwind from currencies. We continue to benefit from good pricing, while mix was a headwind in the quarter. R&D amounted to $32.5 million, that's a 5% increase in local currency, while SG&A amounted to $204.9 million and that was an increase of 6% in local currency. Variable compensation investments in Field Resources and employee benefit cost contributed to the increase. Our adjusted operating income amounted to $217.8 million in the quarter, and that's 9% increase over the prior year amount of $200.2 million. Adjusted operating margins were 28%, a 20 basis points decline from the prior year. On a constant currency basis, adjusted operating margins were up by 20 basis points over the prior year amount. A couple of final comments on the P&L. Amortization was $11.7 million in the quarter, interest expense was $8.6 million. Let me now cover taxes. First, for purposes of adjusted EPS in Q4, we’re excluding the impact of the new tax legislation, which I'll cover shortly. Also, as we’ve done in prior quarters, we reflect our annual effective tax rate of 22% in our adjusted EPS number. In Q4, our reported tax rate for the quarter was 23% with the difference due to the timing of stock option exercises. Moving to fully diluted shares, they were $26.2 million in the quarter, which is 1.5% decline from the prior year, reflecting the impact of the share repurchase program, offset in part by higher shares outstanding due to the accounting change related to the stock option exercises. Adjusted EPS for the quarter was $5.97 per share, that’s a 13% increase over the prior year amount of $5.28 per share. Now, let me make some comments on the new tax legislation that was finalized at the end of last year. A couple of factors are important for us. First, as expected, we do not foresee a meaningful change in our effective tax rate of 22% in the near term. While we benefit from the lower U.S. statutory rate, this is offset by limitations on certain deductions. Second, we view the legislation favorably as it will reduce the complexity of repatriating cash to the United States. It’s along been our strategy to move cash to United States to fund our share repurchase program, and this legislation will make that process easier. Third, we are subject to a onetime tax in conjunction with this new legislation. We’ve incurred a charge of $72 million in the fourth quarter, of which $59 million represents taxes on un-repatriated foreign earnings that will need to be paid over an eight year period and the remaining $13 million is a non-cash charge. On a reported basis, our EPS was $2.93 as compared to $5.17 in the prior year. Reported EPS included the $2.74 charge related to tax legislation we described above, $0.12 of restructuring and $0.09 of purchase intangibles and finally, $0.9 of higher reported tax due to timing of stock option exercises. On the next slide, we show our full year results. We’re very happy with the year in which we achieved local currency sales growth of 8%, our operating income increase of 13% and adjusted earnings per share growth of 19%. Okay, that’s it for the P&L and now we’ll cover cash flow. In the quarter, free cash flow was $130.7 million. Our working capital statistics remain solid with DSO with 41 days and ITO at 0.5 times. Full year free cash flow was $415 million, this compares to $346.5 million in the prior period. We have some nonrecurring facility expansions going on in last year, including the purchase of our pipette manufacturing facility. Excluding these items, free cash flow per share increased by 14% over the prior year. Now let me turn to guidance, a few comments here. First, the economic environment continues to be favorable with good conditions in the Americas, in Europe and a positive environment in China as well. I would say we don’t see a change in economic conditions as compared to last time we spoke. As in the past, our guidance assumes market conditions remain consistent to the present environment. Now second, we feel very good about our growth strategies and our ability to execute them. We’re pleased with our performance in 2017 and we believe we have good initiatives in place to gain further share, as well as continued margin and productivity enhancement initiatives, which should help us to drive solid operating profit growth. Third and final point, comparisons matter, we’ll have some tough comparisons this year in China and our product inspection business, particularly in the early part of the year. And with this backdrop, let me cover some specifics. We continue to believe that local currency sales growth in 2018 will be approximately 6%. Principally driven by a more favorable currency environment, we now expect adjusted EPS to be in the range of $19.95 per share to $20.15 per share, it’s a growth rate in the 14% to 15% range. This compares to previous guidance of $19.65 to $19.85. As we look at the first quarter, we would expect local currency sales growth to be in the 5% range. As a reminder, in Q1 of last year, we had 11% organic growth so it was our most challenging comparison. Based on this sales growth, we would expect adjusted EPS to be in the range of 365 to 370, a growth rate of 9% to 11%. This is modestly higher than what we discussed last quarter, principally due to a more favorable currency environment. In terms of currency impacts on sales growth, we would expect currencies to increase sales by approximately 3.5% for the full year 2018. And in the first quarter, we would expect that benefit to be about 5.5%. In terms of cash flow, our free cash flow should be approximately $450 million and we will repurchase approximately $475 million of shares. Just two final comments on our 2018 financial results. There are two new accounting rules being implemented; the first is on revenue recognition, which we do not expect to impact our results; the second is related to pension accounting, which will move approximately $6.5 million of pension income from operating profit to other income. As we report our quarterly results, we will restate the prior-year, so it's apples-to-apples comparisons but want to mention it now. Okay, that’s it from my side. And let me turn back to Olivier.
Olivier Filliol: Thank you, Bill. Let me start with summary comments on business conditions. Lab had a great quarter and great year overall. Virtually all product lines performed well. Our investments in new product development Field Turbo resources and our Spinnaker sales marketing program are yielding tangible results. We expect current market conditions to remain but acknowledge that we will face tougher comparisons this year in Lab. Turning to industrial. Core industrial business was up a very solid mid-single-digit in the quarter and high single-digit for the full year. The fourth quarter growth in core industrial was broad-based across all major regions of the world. As expected, in the fourth quarter, product inspection was down modestly but ended the year with a high single-digit growth. We continue to be very well positioned in product inspection in terms of product offering, market presence and marketing strategies. We are coming off to strong use of growth so we’ll face tougher comparisons in 2018. Finally, retail was down 3% in the quarter and 4% for the year. Although, they have sales decline, we are satisfied with this business as we continue to prioritize profit growth and return on invested capital rather than sales growth. Now, let me make some additional comments by geography. Sales growth in the Americas was very good with strong growth in Laboratory and solid growth in the Industrial. Retail was down slightly. Sales growth in Europe was impacted by declines in retail and product inspection. Both of which had challenging comparisons with the prior-year. Lab had good growth and core industrial solid growth. Asia/Rest of the World had solid growth driven by very strong growth in China. For the year, China sales grew 19%. We expect China to have a solid first quarter that they will then face more challenging comparisons in the second and third quarters. Finally, service increased 7% for the year. That concludes my comments on the business. Supported by favorable global economy but driven by diligent execution of our growth initiative, we had an excellent performance in 2017. We are also benefiting from our growth investments in the recent years. As we look to this year, we believe we're well-positioned for further growth and share gain. Let me remind you all the key drivers of our growth initiatives, starting with our long-running Spinnaker sales marketing platform and our big base of techniques. You have heard about Spinnaker for many years and it is a great reflection of our continuous improvement mentality within the organization. We are continually strengthening Spinnaker with new techniques and adjusting priorities based on potential. A current focus area is key account management, which allows us to capitalize on our broad product and service offering to further penetrate customers. We are using data and analytics to optimize our sales force activities by identifying and prioritizing sales opportunities and helping us to customize value messages that can best resonate with customers. Our Field Turbo additions to the sales force represent our largest investment for growth to-date. As a reminder, we are leader in the vast majority of our markets, yet our average market share is in 25% range. We believe additional front-end investments can accelerate share gains and plan to add another 150 resources in the current wave. Service is a growth contributor and key competitive advantage for us. We are focused on increasing the percentage of our installed base on the service contract and continue to make investments in training and tools for our 2,700 service technicians. We are also mining our installed base data to identify more service sales opportunities and increasing telesales resources to pursue these opportunities. Underpinning our sales and service growth initiative is our excellent product pipeline. We continue to distance ourselves from competition, which helps to accelerate the replacement cycles. We are also expanding our solutions by adding software, measurement parameters and automation to provide more benefit to customers. For example, in the Lab, we are further automating the Lab bench by connecting our high powered automated sampler to key analytical instruments, such as our typewriters and UEV. This is driving quicker analysis and increased throughput in the Lab. We are also increasing our offerings to support data integrity, which is important to customers in the regulated industry, such as pharma. We have also expanded our LabX software to encompass more analytical instruments and added predictive or smart analysis, such as our IC software suite for our AutoChem offering. The IC software fully controls critical chemical and biological process development workflows, while capturing critical analytical information. It is generally recognized as the standard in the industry. In addition to our initiatives to drive sales growth, we are also focused on margin and productivity measures to drive operating profit growth and also provide us with capacity for investments for future growth. We continue to use sophisticated data analytical tools to give us insights to further refine our pricing strategies and processes. We have identified many improvement projects with the launch of the Stern Drive program last year. Stern Drive encompasses continuous improvement efforts with our supply chain, manufacturing and back-office operations. We have also introduced a new e-shop portal to increase the efficiency of our automated sales transactions. The success of these various productivity programs are depended on strong execution, which I'm confident that the organization will continue to deliver. One final comment on 2018. We will soon open our new product inspection facility in Tampa, Florida. This facility provides for the growth in this business and allows us to consolidate all our U.S. tracking, metal detection and x-ray businesses in one location. You will have an opportunity to see these locations and learn more about our leadership and capabilities in product inspection at an investor meeting we are planning to hold in Tampa on Monday, November 12. I know this is ways off, but wanted to mention it now. Mark it in your calendars and we will be back with additional details in due time. That concludes our prepared remarks. We are very pleased with the excellent results generated in 2017. Assuming market conditions remain stable, our outlook for 2018 remains positive and we believe we're well-positioned to continue to gain share and deliver strong operating results. I want to now ask the operator to open the line for questions.
Operator: [Operator Instructions] And your first question comes from Ross Muken with Evercore ISI.
Ross Muken: How would you tease out, as you would have expected, the order trend? I mean, there is a lot of moving parts there and you’ve got some tough comps and thesis. But given all of the economic data is quite good. Are there some segments or some industries where you are seeing any differential or is it pretty uniform and is really just a product inspection question just in terms of like industrial overall?
Bill Donnelly: So couple of thoughts there. So as you've correctly point out, Ross, comps matter so -- and the toughest comps we have coming in food. I think, we do see good order trends in industrial pretty globally and we do see good order trends with our industrial customers that buy lab instruments. The one area I think it's always tough to dissect come, which is tough comps. You also read that some of the food companies, packaged food companies, have some topics and it will be interesting to see what type of growth we can do. We've been conservative I think relative to past growth rates for that in 2018, but I think it will take a little bit of time to observe that. Absent maybe this food's comment about packaging where we might be a little cautious, I think we see great economic environment. We're talking it about today with our Board where it's part for Olivier and I remember a point in time where so many parts of the world were performing well. And we see that across our industrial customer base.
Ross Muken: I guess just building off on that Bill. Just as you think about the growth cadence for the year, like what proportion of the business in terms of thinking we've got this unique synchronized global expansion. What proportion of the business do you feel like highly confident as we think about the second half of '18 versus where do you think we have maybe a little bit of wiggle room or macro just given how elevated we are and maybe some of the geographies that historically have and always been this sustainably strong, I guess?
Bill Donnelly: Again I’ll try to answer your question Ross, but maybe come back if you don't think I understood it completely. So we would tend to say historically that many parts of the business, particularly industrial piece, might be a little late cycle. So we tend to do okay in the later part of that cycle. I think where we feel too unusual things is in China, in 2017. We clearly benefited from some of the pent up demand for hold backs in that part of the world on capital investment in that '15-'16 timeframe. And then in the product inspection business, there is we're currently the Q4, 2017, we're going up against 15% comp, which led to what we had here in the fourth quarter. And I think we have another double digit comp in Q1. So we would tend to think that if the economy stays relatively at this level even with maybe some modest leveling off here and there, the second half would seem pretty solid relative to our current guidance.
Operator: And your next question comes from Jack Jack Meehan from Barclays.
Jack Meehan: I think versus our model, look like Lab was the greatest area of the strength in the quarter. Could you maybe just tease out what's performing better there? And sounded like it was pretty broad based, but just the outlook for 2018.
Olivier Filliol: It was actually really broad based. Indeed, very happy how the Lab team performed. It's across the geographies. Certainly, China contributed very nicely. Just real estate in China, we have the seventh quarter here in a row where we have very good double digit growth in Lab. But we saw really good momentum also in Europe and U.S. I think it’s a reflection of the economy, but also very much that we had very strong product pipelines. We did highlight that about a year ago where I shared with you that I said I never had so much confidence in our new products and the differentiation of the [indiscernible], that certainly translates in good results. And then all the sales and marketing initiatives certainly contribute nicely in Lab, where the Field Turbo contributing as well as all the additional innovations that we have to engage new customers. So it’s a combination but definitely happy and I expect also '18 to continue to be good.
Jack Meehan: Could you give us an update just in terms of pricing growth in the quarter? And it seems some big moves on the FX front. Are there any opportunities or risks you are looking at there?
Bill Donnelly: So on the pricing, we were up about 280 bps in the fourth quarter, which was modestly above and we did push in one or two areas a little bit some of this inflationary pressure that you here described. So some of that -- and we did experienced some of that inflation by the way in material cost structure. So it’s not that all 280 bps fell to the bottom line. But we had another good quarter and really a good year and feel pretty good about our pricing process entering '18 as well.
Operator: And your next question comes from Paul Knight from Janney.
Paul Knight: Can you talk a little geographic on the European market up 1% in4Q, what's going on there? Obviously, a great year in Asia, China specifically. Can you talk about your thoughts on China in 2018?
Olivier Filliol: Let me start with Europe. Overall, pleased with the numbers and generally in line with our expectations. As expected, region was down double digit, but were very much impacted also by previous year comparisons. It’s absent of retail, Europe grew 3% in the quarter. Again, solid growth already in the previous year. So that’s why we said it came out as expected, but actually also in a good way. In terms of counties, we have France and the Nordic region that did, for example, particularly well and we had also good growth in Eastern Europe. Lab had also particularly good growth in Europe. So all-in-all actually a good picture. If we go to Asia and then particular China, China certainly had a very strong quarter, as well as the full 2017, and expected -- also clearly my expectation, we did not expect that China would develop so well, when we entered the year. And certainly -- also when we end this Q4, we didn’t expect these results, very happy. The market environment is very strong, very good. And we benefit also from these pent-up demands that Bill mentioned that was certainly the case last year, Q4 maybe a little bit less so. This was particularly true for industry. Lab, we experienced multiple quarters as mentioned before seven quarters in a row with double-digit growth. I expect that to continue. As for several industries, we will now continue to experience the same growth rate. Here we're going to face tougher comparisons that will certainly play than in the second quarters of this year.
Paul Knight: And Bill, could I ask last question, would be the net tax effect seems to be a little higher on your tax rate in '17. And what are all the moving parts mean for share repurchase? Any change in plan there?
Bill Donnelly: So we might need to take it offline. So our tax rate of 22% came right in where we are, so our adjusted EPS is in line with what we expected for the full year. The tax rate or adjusted EPS, we did take a charge related to the new law. The charge was round figures about 80% cash related 20% non-cash. And we would expect that we can maintain this 22% rate going forward and probably longer term, we have actually a much easier repatriation process than we would have otherwise. In terms of the share repurchase plan, I would expect us to purchase 475 next year, which is our current -- this year, which is our current estimate for free cash flow plus option proceeds.
Operator: And your next question comes from Tycho Peterson from JPMorgan.
Tycho Peterson: Olivier, just curious, I know you've talked about China in fair amount. Can you maybe talk on what drove the upside in the quarter for you guys in China? I mean, last quarter guided for high-single digit growth for the year. Obviously, you're trending above that. So where you seeing upside from a demand side?
Bill Donnelly: So I think the main thing was we were a little cautious about how much orders got pulled from Q4 into Q3 in connection with the party conference. So we finished -- we probably just did a little bit better in that regard or a little bit too conservative. And I would say the order trend was good, the start to the year was pretty good. I think that's one thing we're monitoring is the timing of the Chinese New Year was a little different. So while January was very strong, I think we'll have to see how that plays out by the time we get to the end of the first quarter. But I was down there last week, Olivier was down there in the fourth quarter and I think both of us feel very good about how the business is positioned there. And the Chinese team is pretty optimistic about their growth prospects and share gain prospects there. But it is realistically a tough comp, because the pent up demand topic we keep referring to.
Tycho Peterson: And then back to the Lab's strength. Just curious are you willing to comment on and January trends just wondering to what degree there was a little bit of a budget plus dynamic in the fourth quarter.
Bill Donnelly: I would say the best one to look at is you guys are usually asking that question in terms of biopharma. And we clearly had a very nice growth in pipettes, as well as in our AutoChem business in the fourth quarter. But they are going to have a decent first quarter as well. So I would have said that we had a nice budget flush, but not a huge surprise either.
Tycho Peterson: And then lastly on Stern Drive. Can you quantify -- I know you’ve talked in past about where you expect in terms of benefit from that. Can you just remind us what you're expecting for the year in Stern Drive?
Olivier Filliol: The Stern Drive is really a program that allows us to continue to expand the margins similar to what we had in the past. It touches different topics. It touches productivity topics. It touches on material cost savings. And in essence, you shouldn't look at it as being an incremental program. It’s more supporting the margin expansion that we have also pursued in the past. But it makes it more sophisticated now, it makes it more global and it’s basically the next wave of excellence that we bring to operations.
Operator: And your next question comes from Dan Arias from Citigroup.
Dan Arias: Bill, just an outlook question. What are you looking for at this point for growth in Asia/Rest of World, if you exclude China?
Bill Donnelly: High single digits in that 7%.
Dan Arias: And then maybe just on the margin. Can you talk about the impact of mix on margins this year in the context of both your European business and then also what you do in the retail business? I know those are two things that can move the number around a little bit.
Bill Donnelly: So the decline in retail certainly helped. What probably hurt a bit was the decline in our European business. You'll remember that Europe is the part of the world where we have the highest percentage of direct sales. So in terms of the gross profit margin that makes a difference. We also had, because of the strong growth coming out of china and the disproportionate amount of industrial business we have there versus lab as compared to the rest of world. While China is accretive at the OP line it tends to be a little bit dilutive at the gross profit margin line. So if I look out at our growth rates next year, we certainly have the retail business growing below the corporate average, but pretty solid growth in all product categories, maybe a slightly less in Europe than the rest of the world. But of course we’ll get some benefit from Stern Drive. I think in terms of looking towards maybe recent trends and what we might expect to see in '18, I think the biggest difference is that currencies got to tend to inflate sales and inflate cost in a way that will reduce our gross margin as a percent, but actually benefited in terms of dollars of gross profit we’ll be able to deliver. So currency will help us, help us more in '18 than it did in '17 and way more than it did in the previous 10 years. So in that sense, it’s helpful but it will tend to dilute a little bit the percent.
Operator: And your next question comes from Patrick Donnelly from Goldman Sachs.
Patrick Donnelly: Bill, maybe one on industrial. How should we be thinking about core industrial and products inspection growth rates to trend in 2018 here? And then specifically on core industrial, any geography still lagging on that front that you expect to maybe show some turnaround in the near term?
Bill Donnelly: So we should be able to put up a mid single-digit growth in our core industrial business. And we did a little bit better than that in '17, but that’s largely due to the China industrial business it grew so much in 2017. And we see that one area now how good we are in measuring that pent up demand impact could be upside or downside to our guidance in this regard. But maybe connecting to our answer to our first question from Ross, I think we feel pretty good about the industrial environment in the western world. We feel actually good about it globally with maybe some comparison concerns when it comes to China. Was there -- I think I forgot this. I think you had a second part, Patrick, and I apologize I forgot.
Patrick Donnelly: It was just about if any geographies are still lagging on the core industrial side, but it doesn't sound like.
Bill Donnelly: I think it's just this question of how well are we estimating the impact of pent up demand on the China numbers. That's the hardest one to predict.
Patrick Donnelly: And then maybe one on the Field Turbo side. Obviously, investments there have been at elevated levels for a couple of years here. Could you just talk through how long it may take to turn profitable and if there is any inflection point expected in 2018 from some of those early investments?
Olivier Filliol: What's important to know is every Field Turbo is different and it's the payback period can make it change radically by geography and by type of business that we are focused on. So to illustrate it on a telesales person that telesales person might have reached breakeven point of the six months. But if we -- as a person for automated chemistry, it might take two years to build up the pipeline. So it varies. And the different ways that we are pursuing here have sometimes different entities, like two years ago we have strong entities on telesales. At this point, we have more emphasis on more sophisticated instrument sales people. And so we might have a little bit of longer payback period. But a good assumption is that of the one to two years, they reach to breakeven point. And so we definitely have a situation now where we are benefitting in terms of growth but also on profitability from the investments that we did one-two years ago.
Operator: Your next question comes from Derik De Bruin with Bank of America.
Derik De Bruin: Couple of questions. First one, what's the pacing in terms of the FX on the top line benefit over the next couple of quarters?
Olivier Filliol: I'll let Mary give the answer on that one.
Mary Finnegan: So Derik, we're assuming for the top line about 3.5% benefit for the full year, and you're going to see it start off about 5.5% in the first quarter and then about 4% and then down to 2% for the second half of the year.
Derik De Bruin: And I'm just curious, are you seeing any -- your business was uniquely positioned within the life sciences market that we cover. And I'm just wondering if you’ve seen any signs or any indication from any of your customers in the U.S. that they're going to reinvest any money from tax reform into their businesses and doing it through CapEx projects, i. e. any of food retailers planned using the windfall for investing in new equipment, or they all typically getting to Amazon?
Olivier Filliol: I think I would start and say our instruments typically are not that expensive and not so CapEx relevant. And so I would be cautious to see a direct impact here from the tax changes in the U.S. I think what we might see more medium to long term that there might be more investments in new labs, for example, in U.S. and we might benefit from that. But on a short basis, I don't think so. And if you talk about retail, actually retail is probably more impacted about the overall nervousness on the profit pool, and that actually would rather impact or slowdown their commitment to new investments in store upgrades and so on. So in a nutshell, I don’t see a big impact here.
Derik De Bruin: And then just one final question. You did a couple of acquisitions last year or the last couple of years. Can you talk about how those were trending if there is anything else that is catching around the horizon?
Olivier Filliol: So the two acquisitions that you referred to one is Troemner that we did about a year ago and Biotix that we did a few months ago, happy on both. Actually Troemner had its first full year and exceeded our expectations, really happy. And Biotix had the first -- last quarter here, a very good performance too. So from a financial standpoint, happy about how things are growing. And in terms of integration or accumulation, also very happy good retention of the teams, good commitments of the teams. And Biotix team, which is a little bit new to us, we are very pleased by talent pool that we have seeing there, and there how we are talking about shared strategies going forward how we can leverage the global franchise and so on, so a promising start. When you refer to about the pipeline for further deals, the strategy remains the same. Of course, I'm happy that we could close here two attractive deals in the last 12 months. We had a period where we were not closing any deals. This is unpredictable and going forward, we’re going to pursue the same approaches both on acquisitions with good synergy potential. But the availability of deals is difficult to predict. But hopefully, one or the other deal will materialize.
Derik De Bruin: And just one final one, just Bill on the op margin target for 2018. How much are you embedding your model for expansion?
Bill Donnelly: So plus 50 bps, and currency adjusted a little bit more.
Derik De Bruin: And the currency hit is basically on the gross margin line?
Bill Donnelly: Yes, I guess if we look at our table, I'm struggling to give you -- I think through the logic of why that is. But yes, if we look at our model, which is bottoms-up, the short answer is yes.
Operator: And your next question comes from Brandon Couillard from Jefferies.
Brandon Couillard: Olivier, did you get the service growth rate for the fourth quarter? And then at a high level, do you have any difference in the growth between the core contract business versus the parts business?
Olivier Filliol: Service co growth in the quarter was 5% and yes -- for the full year it was 7%. And the contract business is doing actually really well. I don't know the number for Q4 separate, but I would be surprised if it wouldn’t be actually double-digit, because early in the year we looked at as we talked about it for you guys and we have really very good numbers, and the part that we also most focused on. The contract business is also outgrowing this past business because the quality of our products get better and better. And we shared with you that this is one of the things why we push the contract business the fixed business, including spares, we are not going to have the same growth dynamic and that’s certainly region wise. In the overall numbers, it’s difficult to see but the contract business would completely outgrow this 5% or 7% that we had for the year.
Brandon Couillard: And Bill, are you still thinking about the APSs been up about 150 basis points for the year?
Bill Donnelly: Realistically, it’s probably got to be a little bit more than that. But realistically, our material costs are going to be a little bit higher as well than we originally forecasted.
Operator: And we have reached the end of our Q&A. Ms. Mary Finnegan, your closing remarks please.
Mary Finnegan: Thanks everyone for joining us tonight. Of course as always, if you have any questions just give us a call or shoot us an email. Take care and good night.